Operator: Good day, ladies and gentlemen. My name is Toki. I'll be your conference operator today. At this time, I would like to welcome everyone to the NXT Energy Solutions Q4 and 2017 year-end operating and financial results conference call. [Operator Instructions]
 I'd now like to turn the meeting over to Mr. George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, Mr. Liszicasz. 
George Liszicasz: Thank you very much, Toki. And welcome, and thank you, everyone, for joining us today for NXT Energy Solutions Q4 and 2017 year-end operating and financial results conference call. This is George Liszicasz, and joining me today's conference call to present our result is Jakub Brogowski, NXT's new VP, Finance and Chief Financial Officer; Sajid Sayeed, Director of Global Business Development; and Enrique Hung or Hung Director of Latin America Business Development and also a member of our Global Geosciences Technical Team.
 The purpose of today's call is to briefly discuss the highlights of today's release of the Q4 and December 31, 2017 results, followed by an update of our ongoing business. Following our update, we will open the lines up for -- the line up for questions.
 Please note that all statements made by the company and management during this call are subject to the reader's advisory set forth in our quarter -- year-end results press release for 2017 issued this afternoon just before our conference call. All dollar amounts discussed in today's conference call are in Canadian dollars unless otherwise stated.
 The company's audited financial results for Q4 2017 and the year-end December 31, 2017, were published this morning and are available on NXT's website and also on SEDAR website.
 To begin our conference call, I would like to briefly say that NXT has demonstrated great resilience over the last 2 years over difficult market drop. In addition, we have taken decisive action to raise funds in 2017 and early this year to enable us to advance and expand our business strategy. I will speak more about our plans moving forward shortly. However, before I do, I would like to briefly introduce Jakub and ask him to discuss our Q4 and December 31, 2017, year-end financial results.
 Before Jakub joined NXT this past February, I had the opportunity to work with him over the past year on our strategies and presentation. NXT has engaged Jakub as a consultant during this period from London, England, where he worked full time for RBC Capital Markets as a senior member of the European energy team. Jakub has extensive experience in over 50 advisory assignments for financing, mergers, acquisition and structuring transactions in Canada and internationally with a total value over USD 45 billion. Over this time, we got the chance to get to know each other well and consider the opportunity to work together full time in the future.
 Jakub grew up in Calgary and holds a Bachelor of Commerce with Honors Degree from the University of Calgary. We are pleased to have him on board. In addition to his CFO responsibilities to the company, Jakub is also part of the team developing company strategy, sourcing funds and assisting in the preparation and negotiation of new contracts for application of the company's innovative SFD survey technology.
 We've also added Eugene Woychyshyn as Acting Controller to NXT, who works directly with Jakub. Mr. Woychyshyn is a Chartered Accountant who holds a Bachelor of Commerce from the University of Manitoba and a Master's of Business Administration from Saint Joseph's University, Philadelphia, Pennsylvania. Mr. Woychyshyn also has extensive international experience in North America, Europe and Asia. We welcome both of them.
 Jakub, the floor is yours. 
Jakub Brogowski: Thank you, George. And I just like to say I'm very excited to be part of the team and looking forward to working with everybody more and more, and welcome to everybody on the call.
 Our Q4 2013 and December 31, 2017, financial results were filed on SEDAR website this morning, and they will be made available on EDGAR later this week. You'll be able to find our 2017 Annual Information Form, our Q4 2017 MD&A and our audited financial statements for the year ended December 31, 2017, on our website and on SEDAR.
 There were no revenues earned in Q4 2017. For the fiscal year 2017, our financial results were as follows: NXT recorded a net loss after tax of approximately $9 million or $0.16 per share based on 54.5 million weighted average common shares outstanding as of the year-end; total operating expenses, excluding tax, for the year of $8.7 million; operating activities used $5.5 million of cash during the year, and net cash utilization was $0.3 million for the year.
 It should be noted, however, that our operating loss of $8.7 million includes noncash expenses of approximately $2.5 million. These were related to amortization, including amortization of our IP, and stock-based compensation expenses. The 2017 results also reflected significant progress to reduce corporate costs and execute on financing options, significantly strengthening the company's liquidity and working capital position.
 During the year, staffing levels and discretionary spending were reduced. And as a result, G&A costs decreased by $0.7 million versus 2016. A proportion of all staff salaries and substantially all payments to Directors and our Advisory Board were deferred in 2017 to further reduce costs.
 Over 2017 and early 2018, NXT successfully raised just under $14.9 million of new capital through 3 separate transactions. The first transaction was a $2.7 million sale and leaseback arrangement for our airplane. This was completed in April 2017. Our rights offering was completed in November 3, 2017, for gross proceeds of $2,093,645. And on February 16 of this year, in 2018, we announced a 3-tranche private placement of 10.9 million units at a price of $0.924 per unit for total gross proceeds of just under $10.1 million to the company.
 The second tranche of that private placement of just over $5 million has now received approval, and we are expecting to close it during mid April. The final tranche, third tranche, will close when we go for a shareholder vote in May. Cash and short-term investments at the end of 2017 were $1.1 million.
 Moving forward, NXT will continue to monitor costs, defer certain payments and look for further opportunities to reduce G&A, some of which we are currently working on. With the new funds in place, we believe it will enable us to meet our obligations for the next 2 years or more.
 I'd now like to hand the call back over to George to discuss our strategy and plans moving forward. 
George Liszicasz: Thank you very much, Jakub. Before we continue with the business opportunities update, I would like to take a minute to reflect on some of the accomplishments that we made in 2017.
 The most notable are: we strengthened our management team with the addition of Jakub and Eugene. In December 2017, we announced Petroquímica Comodoro Rivadavia, stands for PCR, which is a company that we worked for in 2017 and recommended areas in their block, which was about 4,000 square kilometer where they have successfully drilled 2 SFD recommendations based on that 2012 survey.
 We recently learned of additional hydrocarbon discoveries, our SFD recommendation, bringing the number of validated SFD recommended discoveries in the Gulf of Mexico to 4. Commencing in the 15th bid round, April 2018, ANP, the Brazilian National Agency of Petroleum, confirmed the inclusion of the SFD method as work credits, which counts towards the minimum exploration requirement to keep the awarded blocks. This approval significantly increases the likelihood of these companies will consider utilizing the SFD survey in their Brazilian work programs.
 We also acquired, in the Gulf of Mexico, 37,596 line kilometers of SFD data in June 2017 for the shallow water Bid Round 2.1, covering several basins including Tampicao-Misantla, Veracruz and Cuencas del Sureste exploration areas.
 The SFD survey data provides 100% grid coverage over the offshore blocks, which is an area of approximately 8,900 square kilometers. A portion of this survey and the data was acquired that provides coverage over many of the 35 blocks which are offered in the recently concluded Bid Round 3.1. And NXT believes that the remaining data will also be applicable to future bid rounds. The company is currently working with CNH to make it available to bid round participants.
 We have successfully tested the upgraded SFD data acquisition system during our Gulf of Mexico survey in last June. We have significantly expanded the protection of IP through multiple patents granted globally. SFD patents granted in Russia, January, 2017; Japan, July 2017; Mexico, 2017, also in July; Canada, August 2017; and the United States, November 2017; and notices of allowance were received from China this February 2018. We have progressed our business development for potential service in the Americas, Africa, Asia and offshore Atlantic regions.
 Let us now continue with the business opportunities update. Our last conference call, we discussed our business development strategies regarding new markets and prospects. We have made excellent progress on the business front. It is important to note, however, that a number of these business opportunities are also subject to political and/or government processes that we cannot influence and therefore, are subject to changes and delays that we cannot control or predict.
 The information that will be provided -- that we will provide you today is to our -- best of our knowledge, but it remains to be subject to change in the future.
 With regards to Project SHINE in Sri Lanka, we have provided all necessary requirements and await the official signing and award of the Project SHINE Quest, handling their ongoing process and procedures in compliance with the government. We anticipate a positive update in the near future.
 As you are aware, NXT's business development team, along with the technical team, have been actively pursuing a number of opportunities in East Asia directly via our regional representative Generation Resource Discoveries or GRD. I would like to provide a brief update on certain developments in this regard.
 Generation Resource Discoveries have signed an MoU with the Government of Aceh, Indonesia, to apply the SFD technology as the lead exploration tool and conduct a major SFD survey over the offshore basins of Aceh covering approximately 20,000 square kilometers. NXT intends to sign an official agreement with GRD in the coming weeks and set the time to execute this project.
 Further, we have made strategic gains with concerned parties to conduct similar projects in Malaysia. In addition, we are also engaged in various NOCs and IOCs in China to discuss potential projects in Latin America and Africa. The NXT team will be visiting the region next week to move forward our plans.
 With regards to the opportunities in East African countries such as Ghana, Senegal, Equatorial Guinea, I would like to mention that we have encountered some delays due to political changes in some specific countries. However, we continue to remain confident to see some significant developments in the region by Q3 this year. We will update our shareholders on these activities as warranted.
 With respect to Mexico, we are actively pursuing opportunities in Mexico with PEMEX and other IOCs for SFD contracts. In 2017, we conducted our first multi-client survey in the Gulf of Mexico. Multiclient service allow clients to collectively access large amount of geological and geophysical data at affordable prices and within reasonable time. Considering that valuable information is a powerful commodity, NXT has made significant effort to acquire vast amounts of data, as I mentioned before, in anticipation of the continued interest of the oil and gas sector in certain new drilling areas.
 Coupled with the patent protection received worldwide, including our U.S. patent last November, our confidence in the company's strategy has risen considerably, and we are looking forward to greater global interest in our technology from major oil and gas companies. As we continue to advance our pipeline of existing projects, we also made a commitment to actively develop new business lines to create additional revenue streams by maximizing the value of SFD. These include multiclient data sales, strategic partnership with oil and gas companies, geophysical service providers and developing and implementing our vertical business model with the aim of both growing and stabilizing revenue generation for NXT moving forward.
 The maximization of the value of SFD through the current pipeline, and more importantly, our expanded business strategy were critical in attracting over $10 million of new capital from Alberta Green New Ventures -- Alberta Green Ventures in February this year. Proceeds from the financing will provide NXT with sufficient runway to close out current contract negotiations while providing time and capital needed to successfully build our new business lines, creating further value for our shareholders. As the oil and gas industry steadily recovers, we believe we have the right people and the capital in place to generate significant value for our NXT shareholders in the coming months and years.
 In conclusion, although 2017 did not produce the financial results we have hoped for, we are pleased with the progress we made in the technical development, award of the patents and the continued improvement in our pipeline opportunities. We are on track to deliver results with our strategy of focusing contracts worldwide. Our objective remains the same, to produce a steady revenue stream going forward.
 On behalf of our Board of Directors and the entire NXT team, I want to thank all our shareholders for their continued support. We believe the company's expanded strategy is the beginning to deliver results on several fronts that NXT is well -- and that NXT is well positioned for an exciting year of growth in 2018 and beyond.
 I now ask our operator, Toki, to open the line for us to take a few of your questions. Thank you very much. 
Operator: [Operator Instructions] The first question is from Peter Mork. 
Peter Mork: I've got 3 questions. I'll just kind of fire them off and then jump in, if need be. The first one is going to be directed at Sajid. And just we've gone a little while without an update. And just in terms of -- we really appreciate the detail both in the press release today and in the filing just on some of the contracts, that was helpful.
 But if we look at the global portfolio of the potential pipeline, let's call it, anything you want to highlight that's moving particularly well? And then in terms of -- we're going to be talking to you guys -- where should we look to a sign of success, things are moving forward when we talk to you again? That would be question one.
 Question 2 would be for Jakub. Just I know you haven't had much time there. You just joined the beginning of February, but kind of just generally, why did you join the firm? And any impressions you have that you'd like to share with investors, I think it'd be -- we'd really appreciate it.
 And then lastly, real quick, you guys talked about a lot of discoveries. And that's one thing, obviously, the market would be really interested. Any other details on that? And in terms of -- will there be papers out -- white papers, what have you, in order to get those details into the hands of investors, and really more importantly, potential clients? So any order you guys want to take them in, but those are my 3. 
Sajid Sayeed: Thank you, Peter. This is Sajid here. I'll start off in the order that you had placed the questions. I'll answer my part first with regards to the global business development and where we hope to see some success. I'll try to keep it short because a lot has happened in the last one year. Although the company has -- and the industry has been through a difficult patch, we have been very, very successful in making a lot of strategic gains in terms of business development in various parts of the world, particularly in East Asia and Latin America.
 The strategy was very simple. George was persistent on expanding our global reach as opposed to just focusing on certain regions. And given the situation in the market, the very strategy can identify certain areas where there are some potential investment opportunities into the nations, and we're focusing on that.
 Hence, our increased activity in East Asia, in China, Malaysia, Indonesia, one of the signs of the recent success is this agreement, it was signed MoU between our representatives in Indonesia. This is a major project. Indonesia has been having some challenges with regards to attracting IOCs, and they wanted some kind of a new data, new kind of a refresher to their existing situation where they can attract IOCs coming in.
 SFD provides a very unique value proposition, and the process using SFD enables them to project and showcase that region in a totally different light. And this has been received very well from the top authorities in Indonesia, and we've made a major breakthrough there, and we'll be soon working in Indonesia over there.
 That takes us into Malaysia as well. Being in the region and trying to work with NOCs over there in different companies, we've had the opportunity to speak about similar projects with different areas and provinces. And we have made some significant gains there. And it's too early and premature for me to talk about it, but we do see a lot of expansion.
 Similarly, there's been a lot of focus on Latin America as well. Enrique and George have spent and -- a lot of energy and time and effort in Latin America, particularly focusing outside of Mexico. Although we have made a lot of gains in Mexico, we want to expand our reach. And we've been working in Brazil, in Peru and back into Bolivia, and we're trying to expand our scope over there. A lot of gains have been made.
 Given the market conditions, with all the challenges in place, there's lots of groundwork that we have done and all we have to do is keep pursuing what we're doing now and pushing it forward till we materialize -- till these opportunities materialize into strong contracts.
 This year seems to be a very good year for us, and we anticipate a lot of good news going forward. It's too early, again, as I said, to talk about it. But by Q2, Q3, we should be seeing some significant gains in momentum with regards to our business development activity. 
Peter Mork: Sajid, one real quick follow-up before we jump to the next question. Should -- we saw the papers in Indonesia. Is that something that's going to be a typical first step going forward in some of these areas, where you signed an MoU first with potentially the government or is it a country by country, region by region? Could we see MoUs with other provinces in Indonesia or Malaysia or what have you? Is it -- how does that play out? Is it just case by case [Technical Difficulty] 
 NOCs? 
Sajid Sayeed: Thank you. The process seems to be quite difficult in the area, with regards to signing an MoU and signing an official contract going forward. However, each region and each province has their little challenges and their nuances and how they handle these procedures.
 The biggest thing that I can tell you about this thing -- about this project or the area that we are working in right now is the value proposition that we deliver is very unique, it has never been seen before. The way taking SFD as a lead technology and then focusing seismic and doing an extensive [indiscernible] study and developing blocks going forward based on SFD being the lead technology, it's kind of a unique value proposition. It's very, very advantageous for the local NOCs and the governments over there.
 So hence, the traction over there. They see the value, they see the advantage. It's all about putting their ducks in a row in order to accommodate our proposals coming through. So we would be seeing more MoUs typically unless otherwise stated specifically into a straight forward agreement going forward.
 There are certain provinces in the area that we're talking to right now. If it is very well received, then we will do direct contract from the local NOCs. So we are still, as I said, in negotiations, and it's too early for me to discuss further more in detail about this. But nevertheless, you've got it right, more MoUs on the way, for sure. 
George Liszicasz: I just would like to add something before Jakub is going to jump on this call, not on the call but to answer his question. Also, I just would like to mention something about Alberta Green Ventures. It's not just an investment that we are getting here. We're getting a tremendous oil and gas experience behind it. Also, the companies that are involved, some of them in this investment, they have excellent connections in many, many countries, and some of their companies are already either operators or actively involved in various countries.
 So we are looking at countries in Africa with them. We're looking at in the Middle East. We are looking at in South America because they are everywhere. So this is a very, very good opportunity for us to enter into countries where we have not been before with their assistance and connections. So we are looking forward to working with them. And I think it's going to be extremely beneficial for NXT to have this investment in place. Jakub? 
Jakub Brogowski: Peter, thanks for joining the call today and your continued support of the company. From my perspective, I actually had the benefit of working with the company a year in advance, as George mentioned in his comments. And so in that sense, it was an opportunity to help an exciting company and an opportunity to also learn a lot more about it.
 And as I got to learn more and more about the technology, you really see that it's an opportunity to solve a big issue in the industry. And having been banking in the industry for 16-plus years, exploration rates where they are is a huge opportunity and SFD directly addresses that point. So that was a pretty exciting point. So when the opportunity came, I thought, "Well, this is an excellent opportunity to start something new in my career."
 And as I've gotten into the workings of the company and joined the team, I've also been pretty excited about the fact that we're -- it's not something where we've got to massively change the company. It's just something where we're expanding our playbook. And you heard George mention that in some of his comments, and you heard Sajid mention that in some of his comments that we're not only continuing our business development as before but we're also looking at new opportunities like the multiclient, which is very exciting, and the verticals which could be an entity that directly uses SFD, provide stable revenue to the company and also helps us to verify the technology even quicker.
 So those are all really exciting. And not to mention, it's a great group of guys. So all of those things together were sort of the key reasons I joined. 
Peter Mork: Sounds good and -- yes, kind of a nice segue to the next segment, just in terms of the verticals, obviously, that would be phenomenal when and -- when we get there. In terms of these well successes, any plans to publish anything on those? I think that would be useful. And then after that, I'll let the next question. 
Enrique Hung: I can take that. Peter, this is Enrique Hung. We do have a publication from the Argentina. We did a press release from -- with PCR success. This is a beautiful case. I would love to write something about it. I have to talk to the General Manager in PCR and arrange something with them. They are a very production guys. They don't write up a lot of up science, and they have kind of an association with the government in Argentina.
 So they're practically like a silent thing, but we are -- we have the permission for him to publish the data and -- not the data, but the success on the -- on this Argentina block. These are 2 new ones that came out in the press release last year -- ending last year.
 About the Mexico, the 2 new ones, we just knew about this because we have access to [ IHS ]. It's not because -- and they're very shy press release on the newspapers in Mexico. We have to do a very hard work to discover and reveal this. We are working with PEMEX in the high level to try to make this public since I joined the company.
 We have Uchbal and Kunah which is the 2 offshore. And these 2 new ones that we discovered are in onshore. There is something to have in mind here. These are discoveries from the 2012 survey. Can you imagine now the amount of data that we have in the Gulf in the shallow waters, in the -- [ probably ] in the deepwater. 
 We already have a catalog of the existing fields with -- clearly, the data shows very effectively where they are. One example of this is [indiscernible] is one of the -- I think it's the third largest discovery in the world, and we have it in our data set. We have a catalog of these data, and we will keep having more as we go further. This -- based on that just happened this year, the 3.1, has some portion of the data. And the data that we collected in 2017, they will still have not drilled. They should have been drilled if they were using SFD, but we're just in the pathway to get there. And technology takes time and that's my message to you is I'll keep you and all the investors in the company informed about these discoveries and everything we write, we'll make it -- try to make it a public domain and to our convenience to have it. So it's a very good point that you brought in, and we're still working on it. 
George Liszicasz: I would like to add to -- Peter, if you don't mind, I would like to add something. We have verbally being approved, but we never got the official written approval from the highest level of PEMEX. I mean, it's not the problem. It's bureaucracy. It's something that you have to go through the lawyers and this and that and the thirding and how it goes, okay? And -- but now we have a new avenue to PEMEX and the new avenue to the international companies in Mexico. We are looking at a vertical opportunity there as well.
 We are going to -- we are truly going to change exploration, as we know it. The issue is that we cannot wait another 5 years, 10 years and so on and so forth with -- some people are going to discover -- make the new discovery. So Jakub mentioned that having a vertical company allows you to do it much, much faster and grow much faster and so on and so forth.
 There is a significant -- statistically significant figure or number, which is about 32 to 36. We are sitting at 22 now, but the results are very powerful. And I think that if we're going to get the full permission of disclosure, we are going to be able to accelerate the company's growth. 
Operator: [Operator Instructions] There are no further questions registered at this time. I would like to return the call back to Mr. Liszicasz. Please go ahead. 
George Liszicasz: So in that case, thank you very much, everybody, for listening to our conference call -- year-end conference call and Q4. And thank you for your continued support. And we believe that 2018 is going to be a very exciting year for us. Thank you, everyone.